Operator: (Operator Instructions) Welcome to the Second Quarter 2009 DHT Maritime Earnings Conference Call. I would now like to turn the presentation over to your host for today’s call Mr. Eirik Uboe, Chief Financial Officer of DHT Maritime.
Eirik Uboe: Before we get started, I would just like to make the following remarks. This conference call is also being broadcast on our website at www.DHTMaritime.com and a replay of this conference call will be available on the website. In addition, our Form 6-K evidencing this news release will be filed with the SEC. As a reminder, this conference call contains forward looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward looking statements which include statements regarding DHT’s prospects, the outlook for tanker markets in general, expectations regarding daily charter hire rates and vessel utilization, forecasts of world economic activity, oil prices and oil trading patterns, expectations regarding seasonal fluctuations in tanker demand, anticipated levels of new building and scrapping, and projected dry-dock schedules involve risks and uncertainties that are more fully described in our filings made with the SEC. Actual results may differ materially from the expectations reflected in these forward looking statements. With that out of the way I would now like to turn the call over to Ole Jacob Diesen, the CEO of DHT Maritime.
Ole Jacob Diesen: I take if you’ve had a chance to read the earnings release which we sent out this morning. I shall go through the recent situation of the company for the second quarter 2009 while Eirik will cover the financial aspects. First I will say that the policy of employing the company’s vessel and the long term charters which provide stable earnings, it’s serving the company well in the present market with current freight rates below the rates that is relevant to the company’s charter parties. Despite the freight market falling and the credit crunch taking its toll on ship values during the quarter, substantially more then the company had estimated at the time of the first quarter, the company is within its financial covenants but we keep monitoring the market for any negative impact that vessel values may have. We can’t get away from the fact that the weak global shipping market has also created opportunities to generate value to the shareholders over the long term, with falling values and the new freight rates. To take advantage of these opportunities and to meet future financial commitments the Board has decided that the company best served by strengthening its balance sheet to obtain the financial flexibility and liquidity and we’re doing this by suspending the dividend for the quarter. Additionally, the company has $50 million in cash and that is after we have pre-paid $50 million of the credit facility. We did this voluntarily and we did it to reduce the leverage and to improve the future liquidity to give the company flexibility and the funds that we pre-paid will be applied in order of maturity and this reduced the future debt retainment obligations in the years of 2011 to 2013. While the base hire exceeds the spot markets and the learning’s in the respective pools the current low rates below the base hire affected company’s future profit sharing negatively. The profit sharing had traditionally been around 25% of an average of the earnings per quarter. The average life of the charters we have with OSG and the new charter hire arrangements I mentioned provides the company with steady cash flow, regardless when a negative fluctuation in the market which go below the rate in the charter parties. I’d like to, just for your information, mention that our rates that are for the base hire is at the level of $37,600 for the VLCCs, $26,300 respectively for the Suezmax ships, $24,900 for the larger Aframax and $18,900 for the small Aframax. This has to be looked upon relative to the spot market, if you will, and the spot market for the VLCCs are currently around $22,000 and the Suezmax is $12,000 and Aframax is around $6,000 or $7,000 according to the latest information I’ve seen from Clarkson. Additionally, the charter arrangement had the benefit of the profit sharing but this is now having a less affect on the total earnings of the company as a result of the low current market. Concerning the market overall, the balance of the supply and the demand clearly the market has affected the rates that we talked about but the balance of the supply and demand factors are mitigated from vessels used for storage in connection with the oil price, its also the fate of older ships and single oil tankers as well as the transportation distances between the producer and the consumer seems to extend according to the statistics. In the near term I think that these are the factors rather then the rates that will actually help us to get the better market. Not so much the crude oil sources supplies dry up and the vessels marked inefficient. They are not however enough to entirely make up the negative effect on the demand for transportation which is caused by the OPEC cutting oil production. We see the market in the way where the long term fundamentals for the demand for oil and oil transportation still positive, although it is suffering from the world economic prices whereas the reduced demand of oil and the cap in production. However, when the economy again turns, which I’m sure it will, China, India and the Far East, the emerging market will continue to remain the primary drivers for the growth in oil demand and tanker demand. Even when there is negative growth in GDP in countries, China is growing its GDP by about 8% according to [inaudible]. China is actually a very important driver for the future of oil transportation. They have also provided us substantial stimulus package to grow their economy and the domestic oil prices affecting current production. The new refining themselves will require oil import as well their strategic reserves. Overall I would say that the consideration has to be given to the transportation as the key driver for the growth and non-OCED countries. In this regard I think it’s worthwhile to consider that united China has now surpassed USA as the world’s largest oil market and substantial portions of the oil import to China goes for transportation purposes. The China car ownership is growing at 10% annually and for the first half of this year it grew about 26% even in this adverse economic climate. Looking to the oil import in fact just from June to July the China import increased its import by 18%. The current adverse credit market is also having an effect on the deliveries from new buildings. There are encouraging cancellations as well as delays in new buildings and the low freight rate is enhancing the commercial obsolescence and safe route of the single oil tankers or tanker over them, tankers by the year 2010. With the strengthening of the company’s balance sheet the steady cash flow contribution positive cash flow contribution from the long term charters, they are strong counterparty and the more then four years to go as an average and a credit facility in place with amortization first commencing in 2011 and now at lower amounts then previously as a result of pre-payment and the application of enhancing order of maturity. The company’s positioning itself to weather the market and to take opportunities that can create long term value for the shareholders. With this I will hand it over to Eirik Uboe the CFO.
Eirik Uboe: Before getting into the numbers I would like to remind you of some of the accounting changes we implemented as of the first quarter 2009. We changed the basis on which we prepare our financial statements from US GAAP to IFRS and previously reported financial statements have been converted to IFRS but this did not result in any changes to the income statement for 2008 and the changes to the balance sheet as of January 1, 2008 and December 31, 2008, are minor. Conversion documents which include a detailed discussion of the changes referenced was filed as an attachment to the Q1 2009 interim financial report which was filed with the SEC on May 19, 2009. Also effective January 1, 2009, we changed the way we account for interest rate swaps. We no long account for interest rate swaps as hedges for accounting purposes. Therefore effective January 1, 2009, changes in the fair value of our swaps and amortization of unrealized loss on the swaps as of year end 2008 will be reflected in the company’s income statement. With that I’ll turn over to some of the numbers for the quarter. Total revenues for the quarter was $26.2 million, this consisted of $22 million in base charter hire and $4.2 million in additional hire under the profit sharing arrangements with OSG. We have now earned additional hire each quarter since being listed on the New York Stock Exchange in 2005. Net income for the quarter was $5 million or $0.10 per share, however, when adjusting for the non-cash financial items related to the interest rate swaps and a one off charge of $2.4 million related to the termination of $42 million of interest rate swaps net income would have been $0.12 per share. This is paid the base hire under the charters; you respect the other vessels actual earnings in the commercial pools. For the second quarter these rates were above the rates the vessels earned in the market from their pools. However, for the purpose of calculating the profit sharing, DHT’s VLCCs and Aframax’s achieved average time charter equivalent to the commercial market pools of $29,700 and $22,900 respectively. The Suezmax Overseas Newcastle achieved earnings of $23,300 during the quarter. Of the $4.2 million in additional hire $2.7 million relates to the VLCCs, $1.3 million relates to the Aframax tankers and $0.2 million relates to the Suezmax tanker Overseas Newcastle. Technically the company’s vessels operated well over the period, the total of 55 days of off hire reflected the scheduled docking of Overseas Rebecca which had nine days off hire and Overseas Ann which had five days off hire for an interim survey. For the second quarter, the VLCCs expenses including insurance costs were $8.2 million reflecting the new technical management contracts effective January 16, 2009. Vessel expenses fro the quarter include $0.5 million related to interim serve for the Overseas Ann and $0.3 million in bunkers expenses related to the off hire for Overseas Ann and Overseas Rebecca. Depreciation and amortization expenses were $6.6 million and I’d like to point out that the docking costs for the Overseas Rebecca of $4 million has been capitalized and we will depreciate it based on the estimated time to the next docking. G&A expenses for the quarter were $1 million. Net finance expenses was $5.5 million this includes a gain on interest rate swaps of $6.4 million, amortization of unrealized loss of interest rate swaps of $4.6 million and a $2.5 million cost related to the early termination of interest rate swap of $42 million which I mentioned previously. Adjusted for these items the net interest expense was $4.8 million. With this I’d like to open it up for questions you may have.
Operator: (Operator Instructions) Your first question comes from John Chappell – JP Morgan
John Chappell – JP Morgan: My first question has to do with the Overseas Rebecca and this new sub-charter to OSG Lightering. How many other vessels have this agreement with OSG that they could potentially take out of the pools and put on sub-charters?
Ole Jacob Diesen: All the charters have that option for OSG. They can elect to take the ships out of the pools and employ them in the markets on a time charter basis. As long as the market, the rate they obtain in the market is the proper rates, which is called within the markets, in other words they have to make sure that everything is transparent and according to what the market can actually care at the time.
John Chappell – JP Morgan: Do they have to get approval from you or give you a couple months notice because it seems like this charter at $17,500 could potentially have a detrimental impact on profit sharing longer term?
Ole Jacob Diesen: I think you’re exaggerating the detrimental impact on the profit sharing. It’s clear that this ship at $17,500 will not be a profiting contributor for the profit sharing going forward. The profit sharing arrangement is really calculated on a fleet wide basis. It’s on that three quarter rolling average. I could say at the same time that Anya were fixed to lightening services OSG at $29,000 in January and so that ship is in itself as well it is taking out the tool and charter to specific entity it is contributing to the profit sharing arrangement. As far as the issue of chartering, taking the ship out for the pool and chartering to their own subsidiary of course the benchmarking has been done in this case to make sure that the rates that apply are the rates which can be substantiated and are arms length and use the rates at the time the charter took place. They don’t have a specific notice period to us but they do have a notice period to the pools.
John Chappell – JP Morgan: You mentioned a 12 month rolling profit sharing. Assuming the market remains where it is right now and no profit share is garnered in the second half of the year, how much as been accrued so far that we can expect to fall into the third and fourth quarters of this year?
Ole Jacob Diesen: We don’t accrue the profit sharing at all. We don’t accrue for any profit sharing. We are calculating the profit sharing as it comes on the fourth quarter rolling averages. Of course when the market goes down it will reduce the future profit sharing element because that quarter will then have a negative impact on the overall picture.
John Chappell – JP Morgan: There’s probably still some profit sharing from the fourth quarter 2008 and the first quarter 2009.
Ole Jacob Diesen: We’re not accruing though because if you had good quarters then it will have to compare those most current quarter.
Eirik Uboe: We just use the rates from those quarters to calculate the profit sharing for the current quarter accrual. The rates for Q4, Q1 and Q2 this year will of course be used for Q3 purposes.
Ole Jacob Diesen: I’d like to add one point on this and that is also the fact that from our point of view we don’t envision that OSG is going to take out the lower ships and charter them at the low charters because they are in the pools and as you know, the pools have substantial cargo commitments etc. and they will serve a purpose. I can only say that from my own experience that ships like Rebecca and Anya which even when they were in the pool they were operating the lightering service. They are very well suited for the lightering service.
John Chappell – JP Morgan: You mentioned opportunities in your prepared remarks and you talked about strengthening your balance sheet. How much liquidity is available right now to buy assets?
Ole Jacob Diesen: The issue today is that we have cash about $50 million but we also have each quarter is giving a positive contribution to our cash as long as we preserve the earnings that we get from that quarter. As far as going forward I think that we also have to look at the leverage that we can obtain. Currently what we have is $50 million but I think that you have to look at the issue that they are generating positive cash flow on the quarter by quarter going forward from our base hires. As long as we preserve liquidity we can see that this will be increasing and then of course count the leverage.
Operator: Your next question comes from Ken Hoexter – Merrill Lynch
Ken Hoexter – Merrill Lynch: On the dividend, obviously in such a dramatic move just a couple of years ago you were at a variable rate now I guess a year and a half ago moved to this fixed rate which kind of set the stage that you had said that it was such a safe level at the dollar it was below the base hire rates that that was your plan. I want to understand what your thought process is in removing that for the equity holders and your plan on what would bring it back. Is this just a move to start storing up cash to make some near term purchases or what other things would bring that dividend back in line?
Ole Jacob Diesen: We are of course very mindful of the shareholder base and that we were originally established the company was high yield dividend. We have however always focused on the fact that we want a strong balance sheet. Going forward for whatever we are going to do, when we reassess the dividend we will have to look at the factors and we are not saying that we are not reassessing the dividend but at the moment we think that the market environment which we all are suffering from and looking at what is happening on the freight market and the vessel value that it would not be prudent of the company to spend the money for paying dividend at the expense of the solidity of the company. Again, we will reassess the future dividend potential on a quarterly basis, taking into consideration that shipping markets at the time, the current and future cash flow and also the financial commitments of the company. There has been, you must admit, that there has been a dramatic change from the market from January 2008 when we set a target of $0.25 per share. We have also increased that a couple of times during the year and we’re looking at we have a situation today. We have to respond accordingly to be prudent and allow flexibility.
Ken Hoexter – Merrill Lynch: Why do you think that is, like you noted, the structure of the company at the start and the whole purpose was to pay that dividend and now to completely remove the dividend I’m just wondering where the dichotomy is if the purpose at the start was to create the income dividend paying structure for investors and now to remove that completely.
Ole Jacob Diesen: I think that at the time that was the way the company was structured. We had an up going market, increasing market, the booming market for several years. This business is cyclical and I don’t think it is correct that a shareholder can expect a full dividend when you have a down market that you have seen today, such a dramatic down market. Ships today are operating sometimes not even money left in operating costs. The ship value since January 2008 has dropped by almost 50% it’s a tremendous change in the market.
Ken Hoexter – Merrill Lynch: Totally agree on the current market but wasn’t that the purpose for having the long term charters in place so that in up markets and in down markets, particularly in down markets you still have that income stream to be able to pay the income.
Ole Jacob Diesen: We just talked a little bit about we are losing a substantial portion of the revenues that we have benefited from over the long period of time. The profit sharing has been around average 20% to 25% over three or four years. That has been important. Now we cannot really expect to get profit sharing as we go forward because as we talked about this is a four quarter rolling average. With this year being as it is we are benefiting from previous quarters but now it goes down, down, down we cannot expect to be any profit sharing next year as an example.
Ken Hoexter – Merrill Lynch: I totally agree and that’s why you had set the dollar dividend at what was to be able to be paid through just the base rate hire and you didn’t have to worry about profit sharing, I thought that’s why you moved to the dollar dividend was so that in a case where you were just receiving base hire you would still be able to pay that dollar dividend with no problem.
Ole Jacob Diesen: We also saw during this period we have also acquired two Suezmax tankers as you know and we are therefore also made substantial repayment. Those Suezmax tankers have been good contributors to the dividend but it has also resulted in us paying $75 million down in October last year on net debt for example. I think you have to look at the balance between yes we are aware the shareholders would like to have dividends but at the same time we have to balance that need also with the company going forward, in the current market environment.
Ken Hoexter – Merrill Lynch: I understand it’s just that it seemed like the company, the whole structure of the company was built for the purpose of paying the dividend to investors in good markets and bad markets. So in great and good market you had the profit sharing and the up side but it seemed like the whole purpose was on the downside you had the protection of all of these long term charters, you even highlighted they’re still four years left of these charters that particularly in a downturn that’s why investors were holding on to the shares was to be able to get that dividend despite the down tick in the market.
Ole Jacob Diesen: I think also what we have to do, I go back a little bit on my point there, and I think it’s important that we have to be prudent. We have to look into where is the shipping market going, it’s not only where the shipping market has been. Where do we see the market today? The market is quite uncertain as we go forward. We know there are not ships being built and even though there are some being cancelled and some being delayed and we have a world economy which has substantially reduced the demand for cargo of ships. We have to take that into consideration, the future market what we can expect will happen in the future markets. Yes, we have the base hire and we are very happy with the base hire but we also have to see, we can’t just pay the dividend without keeping an eye to the balance sheet.
Ken Hoexter – Merrill Lynch: You mentioned there’s potential for even dividend reinvesting and making some near term purchases. Where would you look for those opportunities, are they by vessel class still on the liquid side, is it outside of the liquid market, where would you look for that?
Ole Jacob Diesen: We principally for the time being we focus on the liquid side if we’re going to look forward. When you see today where the ship values are falling as much as they have there certainly will give opportunities as you go forward. Those opportunities also have to be balanced with managing the balance sheet.
Ken Hoexter – Merrill Lynch: There’s nothing specific on the agenda, you’re just doing this saying there’s an optimistic market, there’s nothing that you’re looking at closely that we could see in the near term?
Ole Jacob Diesen: As a matter of fact since you’re asking me I do think and I also said this previously that I think that we will have better opportunities as we go forward. I don’t think that we are quite through this situation, having seen the bottom yet is what I’m trying to say.
Ken Hoexter – Merrill Lynch: Can we get an update on the pool performance from where we are; I guess the last update was in July.
Eirik Uboe: You mean the bookings for Q3?
Ken Hoexter – Merrill Lynch: Yes.
Eirik Uboe: That’s referred to in the press release. We have not more recent update then July 24 numbers for the pools.
Ole Jacob Diesen: We have to rely on what we get from OSG in this regard.
Operator: Your next question comes from Noah Parket – Cantor Fitzgerald
Noah Parket – Cantor Fitzgerald: On daily vessel operating expense it increased over last quarter and I guess part of that was due to the $800,000 in one time payments. Do you have a breakdown by vessel class what the daily expense was in the second quarter?
Ole Jacob Diesen: We have been struggling a little bit about the operating expenses on the ships. As you know, we had a fixed operating cost arrangement with OSG up to January 16 this year so we have been hustling a little bit about what the actual operating costs will be for the total year. What we are a little concerned about is regarding is the operating costs for a short period, may be skewed if you look at it from the top of the year period. Roughly calculated I think we have the VLCCs if you exclude the insurance costs you are around $11,500 dollars a day and Aframax is around $9,000 a day.
Noah Parket – Cantor Fitzgerald: You think that’s a pretty good number for the rest of the year? Obviously it will be skewed by one time.
Ole Jacob Diesen: That’s what I’m getting at. We have a short period to address this thing but it is not far from the budget but how good is the technical manager budget time will show. If I were going to do a calculation I think that that is the calculation that you should be safe on.
Noah Parket – Cantor Fitzgerald: On the swap, the $42 million swap you cancelled, what was the rationale behind that and how much in swaps do you have left?
Eirik Uboe: When we repaid the $50 million we would have been $42 million over hedged for that way. That was the rationale behind it.
Noah Parket – Cantor Fitzgerald: Most of its still swapped.
Eirik Uboe: The $194 million that’s the remaining fully swapped.
Noah Parket – Cantor Fitzgerald: The market has obviously been difficult the last few months but scrapping hasn’t picked up at all. Do you see any signs, what do you expect scrapping to do over the next year going into 2010?
Ole Jacob Diesen: I can’t give you that figure but I definitely believe, I said it before, I haven’t been wrong so far, I definitely believe that the scrapping is going to increase as we get closer to 2010. Yes there will be a phase out, everything won’t disappear at one time but with the current lower market rate and with a commercial obsolescence that is taking place with regard to the single hull ships and the fact that the lot of the older ships they were built around 1990 and how facing 20 years and they are facing the charters assessment program, all technical details which is just as tough to pass as any special survey. I think that the older ships will the low earnings that we have today we won’t go through these kinds of service. I think the scrapping will increase.
Noah Parket – Cantor Fitzgerald: Do you see any sort of catalyst? We’ve had that situation for several months now and nothing’s really happened.
Ole Jacob Diesen: What is happening there is you see the people with single hull tankers who have still managed to employ their ships so less frequently then the double hull tankers. They also have been making good money over time so it takes a little bit. I think that the new survey time is going to be a very important, catalyst for when the thing is going to happen.
Operator: Your next question comes from Jeffrey Rudner – UBS
Jeffrey Rudner – UBS: We paid down $50 million worth of debt in the quarter. Are you comfortable with the level of debt we have now are you anticipating paying down more of the debt?
Ole Jacob Diesen: It’s a little bit about what you see going on in the market. I think it’s important for a shipping company like us to have a balanced balance sheet. It’s got to be a balance between debt and equity and the vessels earnings as well as vessels value. I think it is very difficult currently to say what’s happening with regard to vessel values. We have seen a substantial drop; we also seem to be sensing a leveling, of that of the fall that we have experienced in ship values.
Jeffrey Rudner – UBS: At the current time now do you feel comfortable at the level of debt around $290 million?
Ole Jacob Diesen: At the current level we are comfortable. We are at all the minimum value clause and so we are comfortable with the present value to debt.
Jeffrey Rudner – UBS: Is it a safe assumption that if values do not deteriorate and the market does not deteriorate but remains level or even picks up that you would not look to reduce the debt level below the $290 million?
Ole Jacob Diesen: You’re saying that we are not planning to reduce the debt with the present ship values, is that what you’re saying?
Jeffrey Rudner – UBS: Right, assuming the market doesn’t deteriorate further do you feel comfortable with the level of debt going forward?
Ole Jacob Diesen: Yes.
Jeffrey Rudner – UBS: Getting back to the dividend question, I think that at least part of what he’s suggesting is when we went to the level dividend of $0.25 a quarter which with 48 or 49 million shares outstanding is a $49 million dividend or $12 million per quarter. Is that you’re taking an attitude, your approach seems to be that you’re going from an all to a nothing situation. That if one were to look at this just in simplistic terms they might get the wrong impression, or I’m getting this impression from you is that things were reasonably okay last quarter but things have gotten so bad this quarter and going forward that we had to totally eliminate the dividend as opposed to maybe cutting it in half or even paying out a minimal $0.05 or $0.10 per quarter, indicating that yes things have gotten more difficult but they’re not so severe that we can’t afford to pay even a nickel a share.
Ole Jacob Diesen: I see what you’re getting at. I think that there’s no doubt that the development in the second quarter has been worse then the definitely levels we had anticipated. It’s not only to look at the second quarter. I think that what we should look at is also the future. We are uncertain about the shipping going forward in the future. At the same time we see opportunities; we see opportunities that the values go down. I think one has to position ones self for that just like you have to position yourself to make sure that you have a reasonable balance sheet level.
Jeffrey Rudner – UBS: It’s interesting you make those two comments that you want to maintain a reasonable balance sheet, which I certainly agree with and you want to be able to maintain the possibility of making acquisitions or taking advantage of opportunities as they exist. One way companies do that is by issuing new shares to raise capital and then take advantage of the opportunities in the marketplace. Again, we took the opportunity to sell 9 or 10 million shares not too long ago. Obviously by eliminating the dividend not just cutting the dividend maybe in half or by two thirds or by eliminating the dividend we’ve put significant pressure on the price of the stock this morning and I would imagine that it will remain under pressure for maybe at least the next three to six months if not further out. That significantly inhibits our ability to raise capital on more favorable terms. If we were to issue shares yesterday at $5.00 a share we would have taken in significantly more money then issuing share at say $4.00 a share which might be the price next week. So that hurts the balance sheet by not being able to fortify through the issuance of new shares that hurts our ability to take advantage if there is further weakness in the tanker market to be able to buy tankers at a favorable price because we don’t have the ability to maybe raise additional capital at favorable rates.
Ole Jacob Diesen: I think that if you come to a situation where we can do good transactions I think we can be able to raise equity in connection with a good transaction. I think that’s really one of the important things being a public company today and an advantage that public companies have relative to private companies.
Jeffrey Rudner – UBS: I agree with you fully but the point is if you wanted to raise $50 million and the stock is $5.00 a share we’re talking about the issuance of 10 million shares if the stock is say $4.00 and you can do the math as to how many additional share we have to issue to get the same amount of money. The bottom line is, then I’ll let you go, is that I think making the drastic move of totally eliminating the dividend as opposed to just cutting the dividend by 50%, by 60% down to say $0.10 a quarter even $0.05 a quarter I think may send a bad message to the marketplace.
Ole Jacob Diesen: I hear what you are saying. We have taken the decision, we feel that it’s a prudent decision to do going forward as we look to the uncertain shipping market.
Operator: Your next question comes from Andrew Kleinberg – Glickenhaus
Andrew Kleinberg – Glickenhaus: What is the current interest rate on the credit facility you paid down $50 million?
Eirik Uboe: It’s at 5.6%.
Andrew Kleinberg – Glickenhaus: Following up on the dividend elimination, there seems to be a very strong disconnect not only have tanker prices come down from January of ’08 but in the interim in the worst part of the economic maelstrom that has occurred in the last 12 months you guys decided to bump up the dividend and pay out cash to shareholders with a special dividend. It seems extremely, I’m just following through, what was the thought process three months ago and six months ago that the scenario looked so optimistic that you were willing to pay out more cash at that time?
Ole Jacob Diesen: At the time when we increased the dividend which was in February, not three months ago, it was really done because we felt like many other shipping companies we have made an awful lot of money in 2008 and we felt that it was fair to share some of that with the shareholders because we had always cognizant of the shareholder base and the shareholders to have a dividend also looking at the history of the company. On the other hand we at that time did not expect the market to deteriorate to this thing that you have seen. In fact we didn’t expect the market to deteriorate as we had even seen anywhere in March. It is really these last few months that have taken us to change the attitude and made us force to look further forward and what we can expect. In other words, when we made a decision in early February it was to some extent made on what we had earned on benefit and also how we saw the market going forward and we didn’t see the market in early February to deteriorate to the same extent that we have experienced.
Andrew Kleinberg – Glickenhaus: You’re saying that management did not foresee the problems and how bad extreme, they misread how bad the environment would be.
Ole Jacob Diesen: Yes.
Operator: Your next question comes from [Baska Majors] – Citigroup
[Baska Majors] – Citigroup: On the covenants and valuation, when is the most recent valuation you guys have done and where did that come in and how much room do you have for vessel values to fall before you have to put more cash towards the balance there?
Ole Jacob Diesen: As you know, these valuations of ships today are not easy to come by. The data points are relatively few and quite uncertain. We think that the ship values from beginning of the year this year to now have fallen by about 30%. We think our ship values are in excess of $400 million then $15 million something like that. We are comfortable as I said earlier with that kind of ship values to our current of $290 million.
[Baska Majors] – Citigroup: There’s been no third part valuation since year end? You guys are estimating where you stand with the covenants.
Ole Jacob Diesen: The bank is making their valuations and we are keeping a tab on it. I don’t think that you should immediately put way too much emphasis on the charter free valuation that you’re paying. You may know that Clarkson which is a big ship they don’t even give those valuations anymore. We have been following the Baltic information and that’s really what we have been basing ourselves on. Having said that, I’d like to say, you give me the opportunity to say that one thing is the charter free values but I think its important to keep in mind that we also have charters today which are quite valuable, in particular are valuable to what we saw previously when the ship values were much higher.
[Baska Majors] – Citigroup: Based on your current read on 2010 would you expect to get rates back above profit sharing thresholds in the next 12 to 18 months? Can you give me some of your thoughts on that?
Ole Jacob Diesen: We are an operator who have based ourselves on longer term charters rather then be based on the spot market as you know. I do think as we touched upon earlier there is a significant number of ships coming out but there’s also significant number of ships being cancelled or delayed. I do think that its fair to say that there is a hope that with OPEC increasing the production with the current oil prices you see that the market may become less bad as many people think and within an 18 month period there is hope for reasonable rates again. I don’t have the crystal ball more then anybody else. I think we have the great benefit in the meantime we still have the great benefit of the base hires as I’m sure you understand and appreciate. Even though it does affect our profit sharing the current market with over four years to go under the current arrangement and with the charter hire today being way above what the ships are generating. I think that’s a great positive for the company going forward. It will give us additional flexibility and flexibility we need in order to see to what extent we can reinstate the dividend and manage the balance sheet and look for the growth opportunities.
Operator: Your next question comes from [Ten Macaback – Resama Capital]
[Ten Macaback – Resama Capital]: If we ignore the balance sheet and all that what is the level of a dividend that the base rate can cover?
Ole Jacob Diesen: Can you ask that question one more time?
[Ten Macaback – Resama Capital]: If we throw out all the balance sheet concern, just assume that there are no worries there. What is the level of dividend that the base rate could support?
Ole Jacob Diesen: Have we actually done that specific on the calculation. I have to ask my colleague here?
[Ten Macaback – Resama Capital]: Before you said that $1.00 was covered by the base rates.
Ole Jacob Diesen: The dollar was well covered by the base rate but of course that coverage was reduced when we raised capital in March. I don’t have the figure off the top of my head.
[Ten Macaback – Resama Capital]: Last quarter you said that it was still covered though even after that.
Ole Jacob Diesen: Yes, I’m not saying it wasn’t. You asked for the coverage so I don’t know exactly to what, where are we, on the 90% coverage we’d be matching that but I would like Eirik to confirm it.
Eirik Uboe: We will have to do some additional calculations on that.
[Ten Macaback – Resama Capital]: If I can make an observation as an investor, I don’t think the market rewards special dividends. Going forward I don’t think there’s any upside to paying out an additional special dividend. I think people like to see a more consistent payout in good times and bad times.
Ole Jacob Diesen: I appreciate that comment.
Operator: There are no further questions at this time.
Ole Jacob Diesen: Thank you for the attention and thank you for listening to us in this difficult shipping market. I think we should look forward and I think that we are positioning the company well to manage our financial obligations as well as look for opportunities to grow the company with the new situation of retaining cash flow and keeping in mind that we will reassess the dividend. Thank you very much for listening.
Operator: Thank you for your participation in today’s conference. This concludes your presentation you may now disconnect.